Shitara Motofumi: Hello everyone, this is Shitara. Thank you very much for viewing the online business results presentation of Yamaha Motor Company Ltd. First, I'd like to express sincere gratitude for all the stakeholders who have been supporting us in this difficult environment. And I'd like to express deep apologies for customers for the inconveniences due to production delay and inventory shortages. Before starting the presentation and the outline, let me comment on the front page. This is a concept model exhibited at AGRI WEEK TOKYO 2022 it assists the trimming of branch and harvesting in the orchard. Agricultural automation is included as a part of new businesses in the midterm business plan and we are promoting such solution based development. Now let me explain the business results for the third quarter FY 2022. First I'll explain the outline. Please turn to Page 4. First, let me explain the key points in the third quarter. Favorable operating environment continued and record high net sales and operating income for the first nine months were recorded. In Motorcycle business sales increased due to the strong demand recovery in margin markets and profit increased due to price increase through the cost pass-through. In Marine business demand continued to be firm and with unit sales increase in large outboard motors sales and profit increased. In Robotics business sales and profit decreased affected by the shortages of semiconductors and other components, as well as slowdown in capital investment demand in China. As for the forecast for FY 2022, it is revised upward to JPY 2,273 billion of shares and JPY 220 billion of operating income. Next, let me explain the future forecast. As for the operating environment, we observed a temporary lull with rising raw material and ocean freight costs and ocean freight costs are expected to decline. The rate of semiconductor deliveries is improving, but the volume will continue to be below the requirement in the next year. There is a concern over the impacts of rising interest rates in the U.S. and the global economy and we will continue to monitor the development closely. As for market, robust demand will continue in that motorcycle, RV, SPV, in the Land Mobility business as well as Marine product business. Demand will also remain firm in Robotics business for automotive sector, but the Chinese domestic demand will be sluggish and the outlook for capital investment demand remains uncertain due to the more stringent semiconductor related regulations in the U.S. In Financial Services business, we increased the allowance for doubtful accounts after the risk assessment considering the economic slowdown due to rising interest rates. Thus situation is mixed with positive aspect and aspect with potential risks, but we continue our breakeven point management style by controlling expenses and cost reduction measures. Please turn to Page 5 for unit sales and inventories by main products. Shipments are compared with three quarters in 2021 and 2019 and inventories are in comparison between those at the end of September 2021 and 2019 and those at the end of June, 2022. First, as for Motorcycles, production continued to be constrained following the second quarter, but by focusing on the production and sales of models, first components are secured, shipment increased year-on-year in each country, but semiconductor is still short of the required volume and especially inventories of the premium model in margin markets are in low level. Shipment of PAS decreased year-over-year, but it has been gradually recovering from the impact of Shanghai lockdown. Shipments of outboard motors increased due to increased production unit and stabilized shipping from Japan. Inventory went up year-on-year, but with high level of inventory on board. Inventory level is below the optimized level. Shipments of surface mounters decreased due to the impact of Shanghai lockdown and the sluggish domestic demand. Please turn to Page 6. I will explain the business result figures. Table shows from left benchmark years of 2019, 2021 and 2022 third quarter. On the right comparison versus 2019 and 2021 are shown. As for 2022 net sales operating income order income for three quarters were record highs. Net sales were JPY 1,677.1 billion [ph], 123% over the previous year. Operating income was JPY 174.2 billion, 113% of the previous year. Operating income ratio was 10.4%, down by 1.0 points year-on-year. Ordinary income was JPY 190 billion, 118% over the previous year and net income attributable to owners of parent was JPY 133.1 billion, and earnings per share was JPY 389.21. Revenues increased due to continued leisure demand in developed countries and recovery emerging economies. Profit increased due to cost reductions and cost pass-through effects as well as the depreciation of yen. Actual foreign exchange rates are shown at the bottom of the table. Please turn to Page 7. This slide shows the operating income variance factors from three quarters of 2021 to 2022 showing variance by business, gross strategy expense and exchange effects. All businesses were continuously affected by soaring raw materials and a shortage of semiconductor parts, but further differentiation of yen led to higher profit. In Marine Products business, excluding the impact of unrealized profit and foreign exchanges, profit increased by approximately JPY 4 billion. Next slide shows more details by factors. Please turn to Page 8. This slide shows the operating income variance by factor. Serious increase impact was plus JPY 29.6 billion and its breakdown is scale increase with demand recovery was plus JPY 26.3 billion. Price hikes and others was plus JPY 30.9 billion. Price hike impact was substantial, but worsened model mix pushed down the profit. Unrealized profit impact due to the increased inventory was minus JPY 15.1 billion and increase in logistic cost in marine freight was minus JPY 2.5 billion. Cost reduction impact was plus JPY 17.8 billion, but cost increase impact was minus JPY 48 billion with raw material cost and procured parts cost increase. Gross strategy expense increase impact was minus JPY 4.4 billion and increasing SG&A expenses including higher variable cost with volume increase was minus JPY 32.1 billion and including exchange effects of plus JPY 56.7 billion, operating income turned to JPY 174.2 billion. Against the cost increase and marine freight increase, cost reduction and cost pass-through to price outweighed the negative factors and profit increased. Please turn to Page 9. I'll explain the forecast of business results for FY 2022. Considering that depreciation of the Yen beyond our expectation, we revised upward the net sales and respective income forecast. Net sales are JPY 2,270 billion, 125% of the previous year. Operating income is JPY 220 billion, 121% of the previous year. Operating income ratio is 9.7% down 0.4 points year-on-year. Order income is JPY 233 billion, 123% over the previous year and net income attributable to owners of the parent is revised to JPY 163 billion, 105% over the previous year and we plan to achieve the record highs for the net sales and respective incomes. Our new foreign exchange rate assumption is JPY 132 to a dollar, JPY 137 to euro and emerging countries currency rates to U.S. dollars are listed here. We continue to promote cost control and cost pass-through steadily. Please turn to Page 10. I'll explain the progress of mid-to-long-term measures. As for carbon neutrality, we announced the introduction of three e-bike models in Europe; Mountain, Gravel and Urban segments, shown on this slide are top three categories in European e-bike market and there are the finished product segments of our future strategy focus. Our products are optimized e-bikes for wide range of usages ranging from mountainous rough trail to town ride. In new business we introduced our automated transport service eve auto on a trial basis at the group company Panasonic. With this eve auto has been introduced at six companies including our own factories and we received many inquiries from leading companies in different sectors. And the formal launch of this automated transport service eve auto is scheduled in this year. Details by business segment. Please turn to Page 12 for net sales and operating income by business. Chart shows results of three years, 2019, 2021 and 2022. As for the results of 2022 in Land Mobility business, sales were JPY 1,085.3 billion. Operating income was JPY 66.2 billion and sales and profit increased. In Marine Products business sales were JPY 398.7 billion. Operating income was JPY 84.3 billion and sales and profit increased. In Robotics business sales were JPY 87.8 billion. Operating income was JPY 10.9 billion and sales and profit decreased. In Financial Services business sales were JPY 44.6 billion, operating income was JPY 13.5 billion and sales increased but profit decreased. In Other Product business sales were JPY 60.6 billion, operating income was minus JPY 0.7 billion and sales increased but profit decreased. On next slide and onward, I'll explain by segment. Please turn to Page 13. Let me start with core business. Motorcycles in Land Mobility business is shown on the left. Due to the eased regulation for COVID pandemic and economic recovery, demand increased. In developed markets units sales decreased due to semiconductor related components shortages, but due to price increase and the depreciation of the yen, sales increased. In emerging economies unit sales increased in India, China and Indonesia and sales increased substantially. As a result, net sales of motorcycles increased from JPY 764.8 billion to JPY 954.6 billion. Operating income ratio improved from 6.3% to 6.6% due to the substantial contribution of cost reduction and price increase, despite the mixed deterioration due to production constraint in premium models and cost increases. Marine Products business is shown on the right. Net sales increased substantially from JPY 302.6 billion to JPY 398.7 billion. Staycation demand continues and demand will continue to be firm. Unit sales of outboard motors increased with stable shipping from Japan and series of large outboard motors increased in particular as a result benefited also by depreciation of yen operating income ratio was 21.1% maintained the high level equivalent to the previous year. Please turn to Page 14. RV business is shown on the left. Net sales increased from JPY 79.3 billion to JPY 93.8 backed by the benefit of depreciation of yen in addition to the continued strong demand. Operating income ratio was minus 0.2% due to the increase in fixed cost in the U.S. production sites with decreased manufacturing operation and increased manufacturing expenses, amid difficulty in parts procurement for the entire industry and disruption in parts inventory management reunite the efforts of operational sites and headquarters to achieve the optimization by the end of this year. Financial Services business is shown on the right. Revenue increased from JPY 35.9 billion to JPY 44.6 billion with the increasing receivables balanced in respective country operating income ratio decreased from 41.7% to 30.2% due to the increased interest cost and the positive impact on the profit in the previous year caused by the one-off factor of decreased allowance for doubtable accounts, but still high level is sustained. Although there is a risk of economic slowdown due to interest rate hike, we managed our business monitoring the default and the dealing [ph] currency conditions closely. Please turn to Page 15. SPV business is shown on the left. Unit sales in electrical power assisted bicycle and the e-kit decreased due to the tight bicycle parts and the production delay caused by parts shortages affected by Shanghai lockdown. As a result, net sales decreased from JPY 37.9 billion to JPY 36.9 billion. Operating income ratio decreased from 16.6% to 8.1%, but it improved from the first half due to the production recovery and cost pass-through in the third quarter. Robotics business is shown on the right. Demand of surface mounter decreased due to the impact by Shanghai lockdown in China and sluggish domestic demand, but in Europe and America it has been firm. In semiconductor production equipment market, CapEx demand for consumer products such as household electronics declined, but automotive related demand was sustained. As for our surface mounter sales, domestic sales increased with the recovery in automotive related products, but it was affected by semiconductor and other component shortages and weakened CapEx in China, Taiwan, and South Korea. As a result, sales decreased slightly from JPY 88.6 billion to JPY 87.8 billion, and operating income ratio decreased from 15.6% to 12.4% due to components and logistics cost surge.
Stop Smart Solutions: With this, I conclude my presentation. Thank you for your attention.
Q - :